Operator: Good day, ladies and gentlemen. And welcome to the Q1 2014 Seadrill Limited Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to John Roche, Head of Investor Relations. Please go ahead, sir.
John Roche: Thanks, Holly, and good afternoon. And welcome to Seadrill’s first quarter earnings conference call. I’d like to thank you all for joining us today. With me today we have our Chief Executive Officer, Mr. Per Wullf; and our Chief Financial Officer, Rune Magnus Lundetrae. Before we get started, I would like to remind everyone, that the financial results of Seadrill Partners have been deconsolidated from the financial results of Seadrill effective from January 2, 2014. This first quarter report reflects the deconsolidation. However, some refinancials are shown on a consolidated basis in order to comparable to prior results. Rune Magnus will provide some additional detail on this issue later in the call. Finally, as I’m sure you are all aware much of the discussion today will not be based on historical fact, but rather consist of forward-looking statements and are subject to uncertainty. We articulate some of the key items on page two of this presentation and for additional information you can visit the -- our SEC filings or our website at www.seadrill.com. And now, I’d like to turn the call over to our CEO, Per Wullf. Per?
Per Wullf: Thank you, John. And welcome everyone to Seadrill’s first quarter earnings call. I will start today by walking through some of our recent highlights for the first and second quarter up until now. We will then spend some time on Seadrill’s strategy and the market outlook. Then turn things over to Rune Magnus to take you through the financial performance highlights and lastly, as usual, we will open up the line for Q&As. We are pleased to report first quarter consolidated EBITDA of $788 million, representing nearly 3% growth rate over the fourth quarter, a 21% growth rate year-over-year. The increase in operating results this quarter is a result of a full quarter of operations for the West Auriga, West Tellus, West Vela and the two jack-ups West Castor and West Telesto. Utilization of our floater fleet on a consolidated basis was 88% and 97% on our jack-up fleet in the first quarter. The Board and management team are not satisfied with the performance year-to-date. The utilization rate 88% for floaters is below the standard set for the company and we can do better. West Aquarius, West Phoenix, West Capricorn, West Pegasus have experienced a collective 149 days of downtime. Although, equipment failure are probably to blame uptime needs to improve. However, by managing through the challenges encountered this quarter, Seadrill again have come to appreciate the benefits of uniform fleet. Spare parts were located on similar units and materially limited the downtime related to equipment failures. Operational teams, they are good in the regions and offshore performed very well in determining creative solutions and reduced downtime. As in prior phase of operational challenges, Seadrill has gone through great length to apply lessons learned across the fleet we are determined to improve our uptime going forward. During the second quarter, we expect to take delivery of West Neptune, which will be mobilized to the Gulf of Mexico to begin its three-year contract that will lock in October. For remainder of 2014, we will take delivery of two ultra-deepwater Samsung drillships of West Jupiter and West Saturn plus the semi-submersible Sevan developer. We are very pleased with the timing of our deliveries so far. We took 13 rigs into service last year and put into service to work -- to run our units at great rates. We have also managed to contract or close to contracting most of our 2014 deliveries. We have little remaining availability for the year and the first half year of next year. In terms of our 2015 deliveries, again we are please to have them late in the year even early 2016 and contract into what we believe will be a tightening 2016 market. Finally, the Board has elected to increase a dividend by $0.02 to $1 per share. Our team is highly confident that the dividend is sustainable in the coming years, unless future units are introduced into the fleet, operating results are likely to show strong growth. Turning now to highlights for the first quarter. Seadrill has another active quarter from a financing and strategic perspective. During the quarter, we successfully concluded multiple transactions to establish North Atlantic drilling as an independent funded entity. Now with the strategy corporation agreement with Rosneft announced over the weekend NADL has truly been taken to the next level. The company has locked in numerous long-term contracts for 2015 availability and has best-in-class supermajor that will create a powerful force in the Russian market and also for Arctic regions on a global basis. At this point we are unable to provide specific transaction details as some commercial points are still being finalized. Generally speaking though, NADL will sign up to tap nine rigs and 35 years rig years with Rosneft and have entered the land rig drilling business in Russia, while Rosneft will acquire strategic equity stake in NADL. We continue to progress with our Mexican joint venture and units are beginning to be ready for operation, actually two are running dayrates, one has been prepared, one is on route, or two is actually on route to Mexico. We believe this will be an important foothold in the Mexican market, especially as the market opens up following the conclusion of the (inaudible) process. We also continue to utilize Seadrill Partners as an attractive source of funding by dropping down the West Auriga. Net proceeds to Seadrill were $366 million and we are pleased with the cost of funding in the market. We expect to continue to assess this market at an accelerated pace as we have demonstrated recently. As demonstrated by Seadrill Partners’ term loan B finance accrued during the quarter, Seadrill Partners have accessed to a rated market that can be utilized to repay loans associated with dropdowns and release further financial headroom for Seadrill. We expect to continue this type of financing strategy going forward. Subsequent to the close of the first quarter, we are happy to announce a number of new fixtures. During the second quarter we have signed contracts for the West Tucana, West Telesto, West Ariel and West Prospero, and also an extension for the West Mischief in West Africa, Australia and Southeast Asia, representing a backlog addition of $319 million. From a regional perspective, there is a slight oversupply in Southeast Asia compared to other regions due to many local players close to the yards. This has manifested itself in somewhat better markets for work in other regions as can be seen by Seadrill’s recent fixtures. In addition to attractive opportunities in Mexico, West Africa and Australia, we also see positive developments in Brunei and Saudi Arabia. For the two drillships West Jupiter and West Saturn, we continue to see progress and remain confident and we can announce these fixtures in near future. Additionally, in the second quarter we reduced our position in SapuraKencana raising proceeds of approximately $300 million. Seadrill remains a long-term strategic investor in SapuraKencana and in connection with the sale has entered into a lock up agreement for its remaining shares until end 2014. Seadrill will continue to support SapuraKencana strategy of growing its broad offshore service portfolio and we are very pleased with our cooperation with SapuraKencana to date and our support for one of our closest partner is unwavering and we look forward to many years of future cooperation with them. We will now turn to Seadrill’s strategy and market outlook. Broadly speaking, future dividends depend on backlog additions, operational performance and market outlook. This is important to keep in mind as we progress through the current market environment. I discussed earlier the Board has decided to increase the quarterly dividend by $0.02 to $1 per share and we are highly confident that this level can be sustained in the years to come. Additionally, as discussed on our last quarterly conference call, the Board as an indicative guideline has decided to create an additional dividend capacity fund by preserving approximately 20% of any net proceeds from the MLP dropdowns. The remaining 80% will be used for reduction of existing debt and future growth and so far Seadrill have raised $663 million in net proceeds from MLP dropdowns, setting aside $133 million for additional dividend or equivalent to a $0.28 per share. Seadrill’s ability to grow its dividend once again prove that the strategic focus on high specification new assets, industries leading uptime, full utilization and the lean cost structure is working. Let’s move to our floater backlog. As mentioned previously, we have roughly $19 billion in total backlog of which $14.1 billion is from our floater fleet on a consolidated basis. Importantly, if you look towards the bottom of the page we are nearly fully covered 2014 and have 66% contract coverage for ‘15. And if you were to include, we have not done that, but if you include the expected contract announcement for West Jupiter and West Saturn, the contract coverage goes to 98% for 2014 and 72% for 2015. Seadrill Limited fleet availability provides significantly stability in the current market environment and we feel that we are positioned -- well-positioned even to take advantage of potentially tightening market in 2016 based on the number of factors. Firstly, we are seeing inquiries for projects that have just been pushed from 2014 into ‘15. So we know about them. These inquiries have not materialized into tenders just yet, but now the [leading yesterday] rate has been defined by Petrobras we expect additional tendering activity to follow. We also find it encouraging to see major oil companies making announcement around re-engineering projects in order to cut costs, ones company is emerged from this re-budgeting process contracting activity will follow. Market tightness will also be driven by the light delivery schedule for 2016 and additionally, we are happy to see customers continuing to focus their bidding activity on units that actually have dual BOPs, increased deck space and high variable deck load capacity. This point is made quite clear when looking at the overall backlog additions to deepwater versus ultra-deepwater rigs. We have said it before and we will say it again bifurcation is happening, not only is it happening but it is accelerating. The spread between backlog additions to ultra-deepwater units and deepwater units has been increasing in this period of softness in rates. There could challenges lie with fourth and fifth generation assets. The oil companies’ new requirements after Macondo and the focus on the increased water depth areas has really limited the contractibility of older equipment. The owners will face the choice of investing significant amounts into 20 or 30-year old assets in order to try to meet the new demands or simply just layoff the unit. Some contractors may also accept asset swaps with newbuilds without a contract for older assets on long-term commitments in an attempt to secure work for the premium units while saving costs on large CapEx upgrades. This results in a near-term potential for more stacking of older unit. It has been shown from the prior sagas that such upgrades carried out by several of our competitors has had a materially lower return than Seadrill focus on building a modern high-specification fleet. As for expected, normalized rates on sixth gen assets over the long term, the industry requires dayrates to be in the 500 to 550 range to achieve an attractive return on investment and justify newbuild programs. Therefore Seadrill believe that two cycle rates average in the low to mid 500, however, Seadrill swings around the average can be expected. Let’s move on to Seadrill’s jack-up portfolio. Our jack-up fleet represent $4.3 billion of our $19 billion backlog. And we have 3% of our fleet available in 2014 and 27% in 2015. The premium, by that I mean, 300 foot water depth units built post 2005 continue to operate greater than 95% utilization rates for the sixth successive quarter. The demand gap continues to grow as evidenced by the increasing number of open tenders, upwards pressure on dayrates and increased contract durations worldwide. On the supply side, the pace of retirements continue to accelerate with more than 30 rigs leaving the market over the past two years well in excess of the number scrapped in the prior 10 years. Although rigs leaving the market has slowed recently. Roughly 60% of the global contracted fleet more than 30 years old will see a positive outlook for employment from newbuild jack-ups being built by established contractors. There are however some long term cautions linked to the fact that the orderbook for new high specification units now amounts to 144 units or roughly 50% of the number of rigs more than 30 years old. So, although the near-term market outlook maybe cautious, we are highly confident in the long-term fundamentals of our business. With a medium and long-term capital will be focused on more profitable projects, which are found in deep and ultra-deepwater. Specifically on the ultra-deepwater regions, since the year 2000, roughly 8 billion barrels have been discovered in the ultra-deepwater. Over the same time, only 500 billion barrels has been produced. This represents a reserve to production ratio of approximately 16 for ultra-deepwater projects. That goes quite well for expected future as activities of the addition of reserves is a key strategic objective for major oil companies. The proving of reserves in these areas will mitigate declines in the replacement ratio following this period of inactivity. From an economic standpoint, the average cost of supply in ultra-deepwater regions is approximately $56 a barrel. This is actually very attractive compared to the marginal cost of supply offshore North America of roughly $65 per barrel. So on concluding a little bit that we have had a good quarter but we can do better operationally. And looking forward now, up until now, I see a second quarter we can proud of and I really look forward to present that to you in a couple of months time. I’ll now turn it over to Rune.
Rune Magnus Lundetrae: Thank you very much Per and good morning and good afternoon and thanks for calling into our first quarter results. I’ll start off with what John mentioned in introduction and just address the deconsolidation of Seadrill Partners. It does create a little bit of noise in the P&L and also in the balance sheet. And this is thoroughly disclosed in our 20-F filed in April. So Seadrill Partners will be deconsolidated from results of Seadrill since or with effects from January 2nd this year. And not only will this impact our reporting going forward but also how we account for future dropdowns. So in summary, the main aspects -- the main impacts are that the assets and liabilities will be derecognized or the associated assets and liabilities will be derecognized and replaced by recognizing the fair value of Seadrill Investments and Seadrill Partners. Also future dropdowns will be at fair value and gains and losses will be recognized in the P&L. Cash contributions received from Seadrill Partners derived from ownership of common units and IDRs will be recognized as dividend income. And lastly, cash contributions received from direct rig ownership in operating companies and subordinated units are reflected as reduction in our investments. I’d like to stress, however, that from an operational and managerial standpoint, the relationship between Seadrill Limited and Seadrill Partners is unchanged. Moving over to the P&L and the financial performance highlights. As deconsolidated EBITDA for the first quarter, we reported $624 million. In order to compare to our fourth quarter 2013 results, we saw a $20 million gain in Q1. So the pro forma consolidated EBITDA came in at $788 million. And this increase was mainly driven by the inclusion of West Auriga, the West Tellus, the West Vela, the West Castor, and West Telesto being accounted for and operating for full quarter. This is offset by some downtime on the West Pegasus, upgrade work on the West Alpha and other operating issues on the West Phoenix and also the anchor chain issue on the West Aquarius. And as Per said, dividend was increased by $0.02 to $1 flat. On the balance sheet, as of March 31, 2014, total assets were approximately $27.5 billion. This is an increase of about $1.2 billion compared to the fourth quarter of 2013. Total current assets increased to $4 billion from $2.8 billion over the course of the quarter, primarily driven by increase in the related party receivables and marketable securities resulting from the deconsolidation of Seadrill Partners. Total non-current assets decreased to $23.5 billion from $23.6 billion approximately, primarily due to the changes related to the deconsolidation of Seadrill Partners and investment in associated companies, non-current related party receivables, drilling units, and newbuilds. Total current liabilities increased to $4.4 billion from $3.8 billion largely due to an increase in short-term debt to related party. Long-term interest bearing debt decreased to $10.7 billion from $11.9 billion mainly due to the term loan B that we did in Seadrill Partners and the effect of deconsolidation. Total equity increased to $10.7 billion from $8.2 billion as of March 31, 2014, primarily driven by net income for the quarter and proceeds from Seadrill Partners and NADL equity offerings, offset by mark-to-market loss on our SapuraKencana and Seadrill Partner Investments and by dividends paid. Looking at the EBITDA contribution, here we show a bridge to get you from the fourth quarter to the first quarter as well as highlighting the non-operating items. We are pleased with the contribution from each of the segments. However, as Per said we are not happy with the operation on the floaters, in particular. But we see great improvement so far in the second quarter. We are, however, pleased with the EBITDA growth shown over the course of the year and we also expect this growth to continue throughout 2014. I will just spend a little bit time on the financial flexibility of Seadrill. We are quite pleased that we have continued our path towards diversifying our funding sources. As discussed earlier, we continue to access the secured bank, the unsecured bond and the MLP markets. Since the beginning of 2014, Seadrill has secured approximately $3.3 billion and used in new financing commitments, with a number of capital markets and bank funding transactions. This level of activity was pursued in order to position the company in the best possible financial situation in light of the current market environment. We are pleased with our ability to execute across multiple markets in a tight timeframe, leaving Seadrill in its strongest financial position in recent memory. We are confident that this funding strategy has provided Seadrill with the financial flexibility to take advantage of the current market environment while supporting the dividend, rather than being forced to take defensive actions. During the remainder of the second quarter, we expect to conclude discussions with Korea and Norwegian ECA’s for financing of remaining 2014 delivery to West Carina. Also, we expect to conclude discussions on the financing discussions on our 2015 drillship deliveries during the second half of 2014. We also started a dialog with potential banks, supporting the eight or the funding of the eight jack-ups being built at the Dalian yard in China. The strength of Seadrill’s credit continues to be appreciated by the bank market where we have experienced significant new lending capacity at increasingly attractive margins to Seadrill. The level for longer term financing has been reduced from approximately 3% to 3.25% above LIBOR a year ago to a level between 2% and 2.25% today. We see the banks’ increased confidence as supportive to our strategy of concentrating on modern assets, supported by a strong backlog from first class customers. Also significant bank capacity has been freed up in connection with the term loan B financing that we concluded in February this year. This is likely to create further attractive opportunities for Seadrill. We’ve also made significant progress in diversifying the sources of funding thus far in 2014. Going forward, we expect to be opportunistic in all markets we are active in and continually look for innovative funding sources in order to improve the cost and availability of capital to Seadrill. Our financial flexibility has never been stronger. We are confident that remaining newbuild program can be financed without tapping the equity market and due in large parts of the funding activity executed during 2013 and thus far in ‘14. Seadrill is well-positioned to weather the current challenging drilling market and capitalize on M&A opportunities that may materialize this year or next. That concludes the presentation. I give the word back to John and we will open up for Q&A.
John Roche: Thanks, Rune Magnus. Before we do get started on Q&A, just given the large amount of caller volume we have today, I would just like to ask everyone to limit their questions to one question and one follow-up. Also if there is anything pertaining to deconsolidation or anything that’s accounting specific, please follow-up with me offline. Sure you all know where to reach me. And with that, I’m just going to turn over to the operator to assemble the queue. Holly, over to you.
Operator: Thank you. (Operator Instructions) Our first question today comes from Lukas Daul of ABG. Please go ahead.
Lukas Daul - ABG: Thank you. Good evening, gentlemen.
Per Wullf: Hello.
Lukas Daul - ABG: I was wondering, you’ve mentioned that Petrobras, sorry to say the new leading-edge and I was wondering how do you see that in the light of your comments on the West Tellus, which is becoming available in Q3 this year?
Per Wullf: We are putting West Tellus, right now as we speak, we are going to end this contract in West Africa with Chevron and she will be sitting idle. We can expect it will be up to a six months period. Worst case as I see it, she will be sitting ready to into work within four weeks notice, but West Tellus is ready to go either to U.S. to Brazil or to West Africa. We don’t know where she is going as we speak, but we are trying a number of opportunities obviously. With the data points we have from Petrobras and the rates we see there and we also have a couple of units ourselves over there being extended. We believe that we are seeing the bottom of the rate so to speak and that will go on or to make other operators getting rate and feel okay. We have seen the bottom now that is probably where it will be and then we will surely raise as jobs picks up. But so far we start to see jobs coming up but so far nothing for Tellus.
Lukas Daul - ABG: Okay. So, I mean, last time you said that you would sort of do anything to keep it utilized and now that strategy didn’t play out, there is nothing out there.
Per Wullf: That’s correct. There is nothing out there right now. And I will stick to that, if we could, help just fix with the short contract or something like that, we would have done it. But right now for a unit like that there is no work right now as we speak that’s correct.
Lukas Daul - ABG: Okay. Okay. And then on the newbuild deliveries, you are saying that some of them are slipping. Can you sort of say a little bit more, how much they are slipping? I know you said it by about six months but could you be a little bit more specific on that?
Per Wullf: No, I cannot be specific on how much it was slipped. But Carina is into next year I can say that for a fact. The other ones is too early but we can see they are slipping. There is no doubt and you are seeing our competitors also say they are slipping. There is no doubt that we will not take any rigs into service from any rigs until they are 110% ready to go into service, so that will make a little bit of slippage, yes. And on the couple of units, you will probably see up to six month slippage actually of the later deliverables.
Lukas Daul - ABG: All right. Thank you.
Operator: Thank you. Our next question today now comes from Ryan Kauppila of Citigroup. Please go ahead.
Ryan Kauppila - Citigroup: Yes. Good afternoon. Just on your comments around the uptick in inquiries and some of the slippage from ‘14 and to ‘15 work programs. Do you have any sense of what proportion of those are exploration versus development?
Per Wullf: No, I don’t have it here now. I would have to come back to you and then you can contact John on that one. I don’t have it right here in front of me. But most of our units -- I don’t know the ratio, I don’t know. Can you any of you help?
Rune Magnus Lundetrae: It’s roughly about 80% development work that we are looking at. There is a lot of development work in the queue, Ryan.
Ryan Kauppila - Citigroup: Okay. And it sounds like from the earnings release, we’ve really just seen this big drop-off in exploration and that’s not really anything you are seeing bounce back from what you have visibility on today?
Per Wullf: Correct.
Ryan Kauppila - Citigroup: Okay. Thanks a lot.
Operator: Thank you. Our next question now comes from Devin Geoghegan of NAM. Please go ahead.
Devin Geoghegan - NAM: Hi, thanks for the time today. I was just curious on the commentary in the press release between I guess the market rates you all mentioned which was 500 to 550. And then you mentioned that other operators were willing to take 425 to 475. And I guess I am confused on which level are you guys referred to as the new leading edge? And as to the Petrobras tenders, are you guys basically saying that the new fixtures you guys are going to get will be above 500 or I was just confused on the press release itself?
Per Wullf: Yes. I can understand that, maybe a little bit, you are little bit confused, but you have different type of units in Brazil. Just to talk a little bit of rates and you have dual units that can work down, you have single units that can work down. I am talking about sale to 5 years old. We sold new units and there is a quite a big of difference in what we’re going to see being secured down there, whether it’s a dual unit or a single operating unit. So when you say 450 to 500 down there could probably be pretty okay for the market going forward down there in Brazil.
Devin Geoghegan - NAM: Okay. So it’s reasonable to expect to I guess 450 to 500 for most boats going to work in Petrobras going forward, is that what -- so I guess I was confused by that comment versus the leading edge, is there a way to distinguish which is Brazil?
Per Wullf: I would like, I could do it, but I cannot tell you the rate. You know probably that we are negotiating with Petrobras as we speak. We have two units. We have been negotiating with them for quite some while, menus have been signed and all that stuff, but it has not been announced yet, but it has three years extension on these two units. But I would say attractive rates for units already being in Brazil, that’s what I can say right now.
Devin Geoghegan - NAM: Okay, thanks so much. I appreciate it.
Operator: Our next question now comes from David Silverstein of Kildonan Castle. Please go ahead.
David Silverstein - Kildonan Castle: Hi, thanks for taking the call. Just to look at the slide that talks about financial flexibility, maybe I missed this on the call. But this is basically to illustrate the mix of funding that you would expect in 2015, so then we just think about the CapEx being with the exception of equity stakes being sold largely debt finance, we will just see a corresponding increase to match these for 2015?
Per Wullf: The illustration of or ‘15 illustration is for illustration purpose, I think what you have seen with Seadrill over the last 2 or 3 years that we have moved from being very dependent and almost only using secured financing to moving into unsecured funding to using the MLP vehicle, and lastly the term loan B which of course is also secured, but slightly different market as it’s not as bank dependent. So I think the bank portion will remain approximately the same in terms of dollar amount, but the pie will look a little bit different going forward. So we are not as dependent on one specific pocket of capital when we fund our business. Also what you will we do and what we have started to do is for the funding to better reflect the structure of the company. We do have the SeaMex JV that we will fund sometime in Q3 probably. We have started to separate the funding of Seadrill partners with the term loan B and also NADL with the IPO and the bond we did in January has now been separate in terms of funding from the parent. So the illustration that you see on page 18 in the presentation is for illustration purposes and it is to make the point that we have actually made a lot of progress and deliver what we said we will deliver 2 or 3 years ago.
David Silverstein - Kildonan Castle: Okay. I don’t think I understand any of what you just said. I am just trying to understand you are contemplating going out and issuing a mix, are you going to issue more in security warrant?
Per Wullf: We have issued the mix.
David Silverstein - Kildonan Castle: Okay, but you are going to continue -- well in 2015 this contemplates you are going to have to continue to issue unsecured debt I guess is what you are saying, right?
Per Wullf: No. What we are saying is that we have approached and executed deals in several markets and then we say that we will continue to look at all those alternatives and go for the funding source that best fits whatever the purpose of that funding will be. So what I’ve said is the term loan B for example is very good fit to the MLP because of the amortization profile that is being too steep with the traditional bank financing. So we did a [Sec/E] (ph) bond in February to tap that market. So what we are saying is that we will continue to tap these different sources and that’s what we have done, but we will also continue to do that going forward.
David Silverstein - Kildonan Castle: Got it. Al right. Thank you.
Operator: Thank you. Our next question comes from Ole Slorer of Morgan Stanley. Please go ahead.
Ole Slorer - Morgan Stanley: Thanks. Just first of all back to your comments on seeing some signs that operators plans are returning to the drilling theater again, could you just shed a little bit more light about what type of customer that you are seeing signs of returning as it hit IOCs or is it smaller independent well (inaudible) type companies in the Gulf of North Sea or nationals?
Rune Magnus Lundetrae: I can say yes to all of it. (inaudible) with the NOCs, we’re going to see it in Mexico. We see it also with the international operators. What we see is let they go out and retender for supplies in order to develop certain areas and then go out and retender for FPSOs and what have you. And just the fact that do that and then they can come in to after that we and see how the profit balance sheet going forward. We know that you will go on ultra deepwater units to drill these prospects and that is happening as we speak. Then just when is it happening, is it in beginning of ‘16, is it in the middle of ‘16, or when is it? But we are now what we see now through our sources that they are out requoting and that is a good sign.
Ole Slorer - Morgan Stanley: Okay. Maybe one follow-up on that with respect to Pemex, I mean there has been two new sources I think in the drilling theater that nobody had expected the size of magnitude roughly that scale have been one that they’ve heard about over the weekend and then again Pemex a little bit more established as they are entering the deepwater market. There were some announcements in the press that Chevron has been picked as the partner, which makes sense given the nature of their infrastructure on the U.S. side, but how soon do you expect to see incremental deepwater demand in Mexico as a result of the current political changes or structural changes?
Per Wullf: Well, I cannot say how -- I don’t know when -- I know we are going to see it, I know we’re strategically positioned there. We have been working there in the past 2.5 year for Pemex doing the first ever ultra-deepwater work. We actually work in 3 kilometer water depths with our unit Pegasus down there. When you are going to happen, I don’t know, whether it is Chevron, you’ll have to speak with Chevron about that, that is better.
Ole Slorer - Morgan Stanley: Okay. Thanks. I will hand it back to you.
Operator: Thank you. Our next question today now comes from Darren Gacicia of Guggenheim. Please go ahead.
Darren Gacicia - Guggenheim: Hi, thanks for taking my question. In light of comments about kind of limited visibility and near-term demand for some units coming off but also so that lower day rate range for what maybe accepted on newbuild rigs, how deep do you think the market is until -- for rigs that may want to accept those lower rates? How many rigs do you think are out there that may be searching for that lower rate that maybe need to get absorbed before you may get up to slightly higher levels?
Per Wullf: Well, I don’t know what rates we’re going to see if it is very, very short contract. If you take our running costs, all inclusive, it’s $230,000 a day on a deepwater unit, okay. And then you got to have some depreciation to that. So if we could go short and we always doing that when we have these cycles and we will go short on the low rate if we have to. So that could be 350, that could be 400, that could be 450. But in the short term, from really short term if it is lower rate, so it is hard to predict what it is because strategically as a drilling contract, we’ll always try to position you for longer contracts keeping a rig warm. And there you’re ready to go a quite bit down in rate, but you want to stay above operating cost obviously.
Darren Gacicia - Guggenheim: So do you think that that leaves the market trying to bridge into the back half of 2015 or into 2016, because it sounds like these are really just bridge contracts to get yourself to hopefully a point when projects come back online? What do you think -- it may be you, maybe a comment on the market, but what you think the target bridge term is for some of these?
Per Wullf: Well, we have all -- all drilling contractors having not so much the fourth and fifth generation, they are already suffering big time. But when you look at the sixth-gen, we have to walk through 2014. We have to walk through most of 2015 until it gets really interesting again if you follow me. But I cannot see into ‘16 whether it’s happening in January, February, March or April, time will show, but ‘14 and most of ‘15 will going to be a challenge.
Darren Gacicia - Guggenheim: Understood. On kind of another level, one of the things that I wasn’t exactly clear about with regard to the North Atlantic Drilling and Rosneft deal, is there -- is it all kind of a swap of shares, or is there some kind of cash component, as Rosneft takes a stake in North Atlantic Drilling that may be coming to you as you maybe sell down part of your stake?
Per Wullf: Hi there. I would love to provide some more color for you, but I think we’re not going to go into the details of the transaction at this point, so sorry about that, but we’ll come back when we can share more information, both about the contract and how the transaction will be done.
Darren Gacicia - Guggenheim: Okay. Thanks for the color. Appreciate it.
Operator: (Operator Instructions) We’ll now move to our next question from James Stockman of Merrill Lynch. Please go ahead.
Unidentified Analyst: Yes. That’s Merrill Lynch, Vice President retired. I just wanted to ask first of all, whether an ex-dividend and payable date has been set for the new dollar dividends? And secondarily, the SapuraKencana joint operation operates in what geographic area?
Per Wullf: Joint operation, well, as you know, we have a stake in Sapura, but we have a work jointly as we speak that is in Brazil with a number of pipe laying vessels. We have taken delivery just of one unit now, actually on time (inaudible) she will be heading away to Brazil going on term contract like the other bonds. So that’s where we’re going to work with them. It is a non core to see to us. So we’ll see how we can get the best out of it, and we will get the best out of it. But for now the only work in Brazil but obviously where we are represented, we together with SapuraKencana, also see other opportunities.
Rune Magnus Lundetrae: And then I think you asked about the ex-dividend date?
Unidentified Analyst: Yes.
Rune Magnus Lundetrae: Yes. It’s on Page 13 in report. So the ex-dividend date is June 10, the record base is June 12 and the payment date is on or about 19th of June.
Unidentified Analyst: All right. And just briefly, on the Rosneft deal, I understand you can’t talk about the details of it. But in light of the British Petroleum experience, which was not a happy one, how confident do you feel about the long-term trustworthiness of Rosneft and the Russians putting together this deal?
Per Wullf: Well, we at Seadrill would never go into this unless we really believe in it, think about that we have had a strategy for a number of years that we want to expand North Atlantic Drilling. We want to expand our ultra-deepwater side. And we have worked for sometime trying to open up over to east and what can you ask better for having a chance to do it with a company like Rosneft. And the way we have worked with them in the past month trying to get this together have just been really positive experience. So we don’t have any negative thing to say about this, we actually have the opposite. This is really professional people we’ve being working with. And we think about we have an agreement in place that we worked together and get it finalized now that’s nine of our rigs and it’s not nine of our existing rigs but it’s a blend of maybe a couple of newbuilds and some of our own. We have actually have Rosneft that have committed to 35 rig years. And we are just so perfectly ready and suited to go up to work up in the Dakota area. And we have the iron to do it as well, plus we can build more. And also the last thing, we are going up there with West Alpha this summer as we speak. Now this is not BP, but this is external Rosneft having an agreement, a joint operatorship up in the (indiscernible) Sea and we will go up there and drill a couple of wells for the rigs. So we already in there and the fact that we can get Rosneft in directly and deal with them with the number of our units coming as they come available in the North Sea is extremely positive. So despite of BP and Seadrill is not BP, I cannot really find it negative at all. I can only find it extremely positive.
Unidentified Analyst: Well, that’s very encouraging and congratulations on a very solid quarter and a positive outlook.
Per Wullf: Thanks.
Operator: Thank you. We’ll now move to our next question from J.B. Lowe of Cowen and Company. Please go ahead.
J.B. Lowe - Cowen and Company: Hey. Good afternoon guys. I was just wondering, since you see the market improving on the floater side at least improving out in 2016. Are you looking to sign shorter-term contracts on the next couple of contracts, so you would be able to re-price as they roll off and what should be a tighter market out in 2016?
Per Wullf: Yes. First of all, we only have one available unit really and that is Tellus. So, we’ll work her and as we are getting along and for short-term, yes, we will not go and give away but we will keep her warm, so she is ready when the longer term opportunities are coming in ‘15, beginning ‘16. But all the other rigs we have working. They actually occupied. So we don’t have too many worries about them and like I mentioned before our rigs in Brazil, minutes have been signed there for extension of them. So, I can talk about one unit in particular and that is Tellus. It might be Carina coming up next spring that could be the next month. That could be the two rigs. We in Seadrill will have to work on short-term contracts at lower rates, so we can place it until we get good long solid contracts on these new rigs. We are in a longish situation, not having any old iron, so we really are – I am not too worried about this period. We can easily -- it will be a little bit stormy in the next year, year and a half but we will manage that one okay.
J.B. Lowe - Cowen and Company: Yes. And just on the Tellus real quick. I’m sorry if I missed this but did you say that rig can potentially be idle for up to six months?
Per Wullf: Yes. I think because we are lying to ourselves because when you put a rig of contract as such, you can do it in different ways. But we have chosen to do is that we have put up to Las Palmas. That’s right in the middle of everything. You will going to have some weeks to the next well located if you get a contract in the Gulf for Brazil, you need to be accepted, you need to grow up with a junior crew because we of course maintained senior crew there. So we can keep the rig warm, ready to operate within four weeks. So quickly and since we have not seen, we are not sitting, negotiating a contract as we speak right now, then it could be anywhere between three and six months before you have anything that would be realistic to look at it in that way.
J.B. Lowe - Cowen and Company: Okay. Thanks so much.
Operator: Thank you. As there are now no further questions in the queue, I would like to hand the call back to Mr. John Roche for any additional or closing remarks.
John Roche: Thanks, Holly. I’d just like to thank everyone for joining this afternoon and this concludes Seadrill’s first quarter conference call. Thank you.
Operator: That will conclude today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.